Santiago Donato: Good morning, everyone. I'm Santiago Donato, Investor Relations Officer of IRSA, and I welcome you to the First Quarter of Fiscal Year 2025 Results Conference Call. First of all, I would like to remind you that both audio and a sideshow may be accessed through company's Investor Relations website at www.irsa.com.ar by clicking on the banner webcast Link. The following presentation and the earnings release are also available for download on the company website. After management remarks, there will be a question-and-answer session for analysts and investors. If you want to make a question, please use the chat. Before we begin, I would like to remind you that this call is being recorded and that information discussed today may include forward-looking statements regarding the company's financial and operating performance. All projections are subject to risks and uncertainties, and actual results may differ materially. Please refer to the detailed note in the company's earnings release regarding forward-looking statements. I will now turn the call over to Mr. Matias Gaivironsky, CFO.
Matias Gaivironsky: Thank you, Santi. Good morning, everybody, and thank you for joining us in our first Q 2025 fiscal year. We started the year with an adjusted EBITDA that achieved ARS 46.9 billion. That is 8.8% below the previous quarter in 2024. That, as we will see later, is mainly related to our Hotel segment. The Shopping Mall segment remained stable, and the office portfolio, because of the reduction in the square meters, is a little lower than the fiscal year ago, but in terms of the metrics, is exactly the same. In fact, we increased a little our occupancy. Regarding the net income, we posted a loss of ARS 109 billion. This is a non-cash effect, mainly related to the valuation of our investment properties that we will see later in better details. Regarding the tenant sales, we started to see some recovery. There is a slight recovery of 7% against the previous quarter, the fourth quarter of 2024, but still 12% below numbers of the last year. We will see some evolution later as well. Regarding the office occupancy, we reached 98%. In shopping malls, we are at 97%. Also during the quarter, we were active in some acquisitions. We acquired a plot of land adjoining our Alto Avellaneda shopping mall for a future expansion. And finally, regarding the dividend payments, we announced and we already paid in Argentina, dividends for an amount of ARS 90 billion. That is around 8% dividend yield. And also, we distributed shares in treasury for around 3.6% of our stock. So let me introduce Santiago Donato, our IRO, to follow the presentation.
Santiago Donato: Thank you, Matias. Well, here, we can see the evolution of real tenant sales in our shopping malls and occupancy rates. We have seen some -- as Matias mentioned, some signs of recovery in the first quarter '25 compared to the last 2 quarters, although tenant sales still below inflation. When we see the drop compared to the first quarter of 2024, we are 12% down. But remember that the first quarter of 2024 was one of the best quarters in the last years. It was up 10%. It was in the middle of the electoral period that there was a lot of higher inflation and higher consumption as well that generated an increase of 10%. So we are comparing to that quarter that was the best of the last 5. Regarding occupancy, decreased a little bit to levels of almost 97%. We had some vacancy in the quarter at Dot Baires Shopping mainly that we expect to occupy soon. We don't see a problem of vacancy. And we expect our malls to evolve favorably in the next quarters, in line with the recovery of the economic activity and the real salaries. Regarding office segments, we kept selling some floors in recent quarters. We sold 2 floors of [Della Paolera] our latest development in Catalinas in the last year. And after the end of the quarter, we sold an additional floor at really very competitive prices. So now, we have just 3 floors of that building, and we currently manage 58,000 square meters of offices, mostly A+ and A. We have just one building that is Philips on the B category. The premium portfolio increased its occupancy to almost 98%. This is really good. This is much higher than the average of Buenos Aires City premium buildings' occupancy. In our case, this increase was mainly due to the improvement of Dot Building, the office that is next to Dot Baires Shopping Center. And regarding rents, are quite stable in dollars, a little bit lower, but they remain stable at levels of $25 per square meter. This is the average of the A+ and A buildings. Moving to Hotels, our third rental segment. The Hotels represented a challenge this quarter. This is something that we anticipated at the end of the previous year in the fiscal year '24 because the last 2 years were really good for hotels. We had record EBITDA and occupancy, mainly due to the FX competitiveness and tourism activity in the last 2 years in Argentina. Today, the country is facing a lower influx of tourism due to lower FX competitiveness, and we are seeing this in this slide. Occupancy -- our portfolio occupancy decreased from 66% to 55% in the 3 hotels. Remember that we owned Libertador and Intercontinental in Buenos Aires and Llao Llao Resorts in Bariloche. Rates happens something similar. We see a slight decrease in rates in the 3 hotels. Despite this situation, the hotels are generating very good revenues and provide a good diversification to our rental portfolio. But of course, the evolution of this segment will depend on FX and tourism inflow in the next years. So now, we are going to move to the real estate part of the investments. I will give the word to Jorge Cruces, our Chief Investment Officer.
Jorge Cruces: Good morning. We have acquired a property adjoining Alto Avellaneda shopping mall. The property has a total area of 87,000 square meters and built area of 33,000 square meters. The purchase price was set at $12.2 million, of which $9.2 million have already been paid and the balance of $3 million will be canceled with the transfer of the deed, which is still pending. The project formerly called Costa Urbana has been given a brand-new commercial name, Ramblas Del Plata. This was unveiled during the Expo Real Estate Argentina event held at the Hilton Hotel in August. In September, was held a public hearing for getting environmental approvals for Stage 1 of the development. We are expecting the approval at any moment now. As soon as we get the environmental approval certificate, we will be able to break ground and start the construction of the infrastructure, roadworks and public park of the first stage of the development around the central bay area. Regarding commercial actions, as mentioned, the Buenos Aires Real Estate Expo event was used to launch the development. As a result of conversations with major developers, expressions of interest have been received. Most of these expressions will be channeled through barters agreement. Others will be just straightforward purchases of the lots. We -- these last couple of months, we've been having a great change regarding the market -- the real estate market -- the housing market, the residential market. Since the crisis of 2001, it has been mostly an investors' market. Most families weren't able to afford to buy an apartment. The relative value between salaries and housing was not helping, and there was no kind of mortgages. So, during those years, mostly, we had investors with a lot of apartments, small apartments and families who couldn't buy. Then we had a lease law that didn't help at all. That lease law changed with this new government. And the changes are that it used to be minimum 3 years. Now it's 2 years. The index to adjust the inflation was annually. Now it's every 3 months. And the index that the government made people use was mandatory, and now, you can -- you're able to negotiate. So what's been happening? We had a lot of stock, small apartments empty the last year. Now, we have people leasing apartments. So investors are not so eager to sell. Then we have people with mortgages that are starting to buy. So we have more people buying, less people selling, prices going up, people realizing that the prices are going up. So, people are kind of like in a hurry to buy apartments before it gets too late. So we're kind of like in a momentum -- a boom momentum with residential, mostly with stock. Presales still -- presales don't have a momentum still because of prices we're working out with construction prices. So that's going to be next. But for now, we're having a great momentum with the residential market. [indiscernible] Del Plata, the project is located steps away from the Obelisc, a strategic point with easy access to transportation and a wide range of entertainment options. The project is on record under the central area transformation regime promoted by the city of Buenos Aires. This regime aims to enhance and expand the existing building, transforming it to residential use. The project has been implemented through a trust agreement with Banco Hipotecario regarding the land, several companies as money trusters, IRSA as developer and TMF as the trustee. The project consists of 721 apartments, 224 parking spaces and a commercial ground floor, includes amenities such as a multipurpose room, swimming pools, massage rooms, gym, storage units and bike racks. The building is hosting, at the moment, Casa FOA, one of the most important architecture and design exhibitions in Latin America. For the event, a sales office was set up along with 2 model units to showcase and launch commercial actions. In the meantime, architectural project has been delivered and ready for bidding. In the first phase of construction, demolition work in the basement is being completed, upcoming bids, complementary demolitions, concrete structure and major civil works. Project Nexo Dot: the project is located in a currently empty space between the Dot Shopping Center and the Zetta building. Zetta building is a former Philips factory building transformed into office. The program includes 160 apartments, 2 levels of office space, more than 5,000 square meters and 79 parking spaces. The project has been defined targeting digital [nomads] to enhance the interaction between the building and the shopping center. We are waiting for the environmental aptitude certificate renewal. Work plans and construction permits will be presented once the certificate has been obtained. La Plata Distrito Diagonal, Diagonal District: this project is located in a large block of about 8 hectares in the north direction of the city of La Plata. Easy connectivity led to installation in the area of 2 large supermarkets and a home center. The main lot is for the shopping mall. It is an open-air shopping center developed in 2 floors. The other 15 lots are for residential, for office space, hotel, clinics and has a construction capability of 78,000 square meters. Work is in progress. [indiscernible] Stage 1 started in September. Regarding commercial actions, once the construction work reaches a more significant progress, we will proceed with making marketable actions of the 15 lots. This approach worked for us in Alto Rosario at the time, and we understand that it should also work in La Plata. City Block 35, Tower 3: The project is located in Caballito neighborhood, the geographical heart of the city of Buenos Aires, a middle-class neighborhood. Program -- it's 3 towers, different heights. One has 27 floors, the other has 22 floors, and the other one is 18-floors high. It's 500 apartments of 1, 2, 3 bedrooms and 2 basement levels for parking space. It's going to have 500 parking space. We recently changed the project to meet new market needs. Concrete structure and elevation completed, and masonry construction in progress at the moment. Now, I'll give the floor back to Matias, our CFO.
Matias Gaivironsky: Thank you, Jorge. So, if we move to the next page, we can see the evolution of the main variables on the macro side, the FX and inflation. What happened during the quarter was important appreciation of the peso. When we see the number in terms of the dollar MEP, or the blue chip swap, we can see, in the bottom right, that the appreciation of the peso was 20%. And at the official exchange rate, the appreciation was 5%. That means that when we value our investment properties in pesos terms, we will post losses since, in dollar terms, our properties remain stable. In fact, in shopping malls, we increased a little the valuation in dollar terms. But when we convert those numbers into pesos adjusted by inflation, we have to [ post ] losses. This is the main reason why you see, in the bottom line, an important loss. For us, it's not relevant since it's not a cash movement. And in fact, when we see the value of properties, everything in Argentina for real estate is in dollar terms. And we believe that, as Jorge mentioned, we will see prices going up. So, so far, in our system, it's not reflected in valuations, but we hope to see, in the coming quarters, a recovery of that. So, moving to the next page, as we mentioned, the adjusted EBITDA is 10% lower than the year ago. If you see, in shopping malls, remains stable. Offices is lower, but it's related to a lower stock, a lower portfolio. And also, when we adjust the numbers of the previous year by inflation, that adjustment is higher than the valuation. Remember that our portfolio or our agreements are in dollar terms. So we are adjusting the last year at a higher pace than what happened with the FX, the official FX. And in hotels, we see this drop of 60%. That is related to lower occupancy and lower rates in that segment. In terms of margins, we still have high margins in shopping malls. In fact, we are almost achieving 80% -- office, 80%. And the hotels, we see the drop related to lower occupancy and lower rates and also costs that are adjusted by inflation, mainly salaries. Regarding the change in the fair value, as I mentioned, there, we can see the big loss of almost ARS 225 billion that I just explained. Regarding the net financial results, we see here a gain, mainly related to 2 components. The first is the FX. Since we have to value all our debt in pesos terms, the appreciation of the pesos generate this gain, and also the fair value of our financial assets that our liquidity portfolio generated gains that you can see in the third line, the ARS 7 billion. The net interest remained stable compared with the previous year. Our debt remains stable. So there is no significant news about that. And the income tax, here, you see a gain of ARS 55 billion. This is related to the deferred tax on the investment properties. Every time that we post a loss in the fair value, we have to mark a gain in income tax because lower taxes that you have to pay if you sell that property at those prices. And on the current tax, we see a loss of almost ARS 20 billion. This is the beginning of the year. So probably, this year, IRSA will start to pay taxes again since we consumed all our tax credits. But it's not just multiply that number by 4 because there are many things that we'll have to do in the coming quarters. So, finally, the net result is that loss of ARS 109 billion; attributable to our controlling interest, ARS 105 billion. If we see the numbers in dollar terms, here, we have the evolution of the last years in dollars using the official exchange rate. And we can see that we remain at good numbers, $162 million of EBITDA in the 3 segments. This doesn't include the real estate activity and also the rental segment that is the more recurrent and stable source of cash. About our debt, there was a new issuance that we did in October. We issued new debt for -- we did 2 tranches. The first tranche was with a maturity of 5 years. The interest rate was 7.25% that expire [indiscernible] in the fiscal year 2030. And also, we did a small tranche for 3 years of $15.8 million with an interest rate of 5.75%. So after giving impact to the dividend payments, so this is on a pro forma basis, our net debt today is $297 million. Still very conservative in terms of ratios. Net debt to rental EBITDA is only 1.8x, LTV of 14%, coverage ratio of more than 8x. And this doesn't include all the rest of the portfolio that are not generating cash. So, we feel very, very comfortable with our debt situation today. About our dividend payments, we -- our shareholders' meeting approved a dividend payment of ARS 90 billion, was a dividend yield of 8%, that we already paid 2 days ago in Buenos Aires for our ADR holders. Probably this will take around 10 days to a little more 15 days to see the payment. But we are in the process, and we don't anticipate any delay about that. So in the last years, we -- the 3 last years, we paid around $250 million of dividends. This was -- is expressed at the blue chip swap. So it was an extraordinary period of 3 years paying very, very high dividends. As you know, the last years, we haven't been very active on launching new projects. So we decided to use most of the cash for our own capital structure, buying back shares, paying down debt and paying dividends. So we have today a very healthy financial structure. About the shares repurchase program, we finished the last program in September. That was around 1.6% of the shares at an average price of $9.94 per ADR. So, with that, we finish the formal presentation. Now, we invite you to -- we open the line for Q&A session. Thank you very much.
A - Santiago Donato: Okay. We'll start with the Q&A session. If you have a question, please use the chat. We will receive them in the order -- we will take in the order we receive them. We have the first from Marina Mertens from Latin Securities. With the next quarter being seasonally strong for shopping malls, do you expect tenant sales to show a further recovery compared to the same period of last year? And given the significant reduction in office assets in recent years, are there plans to rebuild or expand the office portfolio? Or is exiting from this segment a possibility?
Matias Gaivironsky: Let me address the first part about tenant sales. That was a volatile year. Now, when we analyze what happened in the last quarters with consumption, there was like one environment in the -- with the previous administration, there was an acceleration of consumption and acceleration of inflation. So, if you remember, after the elections, December 10, when Milei took office, there was a big change in the environment. So when -- the next quarter, when we will compare numbers, we will still have the first 2 months of the previous -- the comparison will be -- the first 2 months will be against the last administration and a booming consumption and the last 20 days with the new environment. We believe that we will keep seeing recovery against the previous quarter. Probably, in the comparisons against the last year, we will see weaker number probably in December. But we expect to see like this quarter -- now, the previous quarter, the drop was 18%; this quarter, 12%. And we hope to see better numbers in the coming quarter. And then, the third and the fourth quarter of this fiscal year will be much better because the point of comparison will be with the new administration, and we started to see recovery in real wages. So we hope to see better numbers after that. And regarding the second part about our office portfolio, we don't have the ambition -- as we always mentioned, we are not just an accumulator of properties because of Argentina. Now, we have to be active managing our portfolio. So when we see good opportunities to sell, you will see us selling. And if we see good opportunities to develop or to buy things, we will buy or develop. We don't have a target of saying, okay, we want to have at least X square meters in the office portfolio or go back and recover the same portfolio than before. Our analysis will be, if we see a good opportunity to acquire in any segment, we will acquire or we will develop. But if not, we don't have any pressure to recover the same portfolio to achieve certain numbers.
Santiago Donato: Here, we have another question regarding Ramblas Del Plata. How is the processing of Ramblas Del Plata progressing? What are the next steps? What has changed since the last earnings in September? Since, Jorge, you mentioned something, but if you want to add some color on that process, how it's going to...
Jorge Cruces: Well, mainly regarding commercial-wise, the interest of developers, it's very strong. So, soon, we're going to start signing barter agreements and selling agreements. So I think that's the main difference in the last month. And mainly, we've been -- as I said before, we're about to get the environmental approval certificate, so we're going to start with the works. But I think mainly -- what mainly happened since the Real Estate Expo until now has been commercialized. It's been very interesting seeing how developers are very interested in our -- in the development.
Santiago Donato: And they are asking also, Jorge, here regarding the environmental processing, if you can add something regarding the recent public hearing that ended September 6.
Jorge Cruces: Well, we had a really big hearing last year. It was regarding the whole lot. Now it's only for the first stage. It's not by -- it's a normal process. People say what they believe is good or bad for the environmental. We may have some kind of corrections from the government. It's not really normal procedure to have a lot of comments from the government because usually, what we present is with the government and with the RK. So I don't think that's going to be a problem. And it's -- as I said before, at any moment now, we're going to have the certificate. So we're going to start working on the first stage.
Santiago Donato: I'll give some minutes more. If there is any additional question, you can use the chat. Okay then, if there are no more questions, we conclude the presentation. I will now turn back to Matias for his final remarks, and thank you for joining.
Matias Gaivironsky: Thank you, Santi. For this -- the first quarter of the fiscal year, there is like a new trend in consumption, but also very positive for real estate in general because of the tax amnesty, because the launching of the mortgage industry again. This is a very important trigger for real estate. So we start to see, as Jorge has shown, good trends in signed deeds and a movement. That is very, very positive for IRSA because we will have a lot of properties and projects to sell. So we start to see an increase in demand that will trigger prices. So we are very confident about that. And we are ready to be more aggressive in the development side with our financial structure very conservative, and we start to see good opportunities. We can monetize part of our portfolio and launch new projects again. So we hope to see that in the coming year. So, thank you very much for your participation. We will see you in the next call in February. Thank you very much.